Operator: Welcome to the Fourth Quarter 2019 Phillips 66 Partners Earnings Conference Call. My name is Kenzie, and I will be your conference operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Jeff Dietert, Vice President, Investor Relations. Jeff, you may begin.
Jeffrey Dietert: Good afternoon, and welcome to Phillips 66 Partners fourth quarter earnings conference call. Participants on today's call will include Kevin Mitchell, Vice President and CFO; Tim Roberts, Vice President, Operations; and Rosy Zuklic, Vice President and Chief Operating Officer.
Kevin Mitchell: Thank you, Jeff, and good afternoon, everyone. During the fourth quarter, Phillips 66 Partners delivered strong operating performance, advanced major growth projects, and maintained its strong financial position. Our Board of Directors approved a fourth quarter distribution of $0.875 per common unit, an increase of $0.01 per common unit from the previous quarter. Year-over-year, we have increased the per unit cash distribution 11%. We continue to maintain our record of quarterly distribution increases since the July 2013 IPO. Moving on to Slide 4. 2019 was another successful year for the Partnership. We continue to operate safely and reliably and delivered record earnings and adjusted EBITDA. We ended the year at a run rate EBITDA of $1.4 billion. During 2019, we completed a transaction to eliminate our general partner's incentive distribution rights, with a simplified structure, strong balance sheet, attractive organic growth opportunities, and sponsor alignment. Phillips 66 Partners is a sector-leading MLP. In 2019, PSXP delivered a 56% total unitholder return. We made good progress on our growth program this year. In November, we started the initial operations on our largest project to-date, the Gray Oak Pipeline. In addition, the Bayou Bridge pipeline extension, the Lake Charles projects pipeline, and the Lake Charles isomerization units were completed. These assets are running well, meeting our expectations and contributing to EBITDA growth. Moving on to Slide 5 to discuss the financial results. The Partnership reported record fourth quarter earnings of $255 million and adjusted EBITDA of $345 million. EBITDA increased $22 million from the third quarter. The improvement reflects increased volumes on our wholly-owned assets and a full quarter contribution from the Lake Charles isomerization unit. Our wholly-owned pipelines and terminals also achieved record volumes for the year. Fourth quarter distributable cash flow was $254 million, a decrease of $1 million from the prior quarter, driven by the timing of distributions from our joint ventures.
Rosy Zuklic: Thanks, Kevin, and hello, everyone. Slide 7 lists the projects we have ongoing. All of these projects are backed by long-term volume commitments and are expected to deliver typical Midstream return. The Gray Oak Pipeline started initial operations in November. Gray Oak is currently moving crude from West Texas to central junction, Helena and Three Rivers. This section of the pipeline is operating in line with expectations and we continue to progress towards full service in the second quarter of 2020. Gray Oak will connect to multiple terminals in the Corpus Christi area, including South Texas Gateway Terminal. The marine export terminal will have two deepwater docks, with storage capacity of 8.5 million barrels and up to 800,000 barrels per day of throughput capacity. Phillips 66 Partners owns a 25% interest in the terminal, which is expected to start up in the third quarter of 2020. The remaining projects listed are progressing as planned. Phillips 66 Partners 2020 adjusted capital budget is $867 million. This includes $734 million for growth projects and $133 million of maintenance capital. This concludes our prepared remarks. We will now open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session.  Theresa Chen from Barclays, your line is open. Please go ahead.
Theresa Chen: Good afternoon. Thank you for taking my question. Rosy for the South Texas Gateway Terminal, I understand that facility is expected to start up in the third quarter with the initial service, but can you provide some color on the timing and pace of the ramp up to full service there?
Rosy Zuklic: Sure. I'll start off with a little bit of info, and of course, Tim is here and he can give us a little bit of color as well. So let me first back up with, as you know, Buckeye started initially with this facility at 3.4 million barrels of storage. And since then, we've expanded the facility to now be 8.5 million barrels with storage and having capacity for two VLCC-capable docks. In the fall of 2019, Buckeye received the U.S. Army Corps of Engineers permit to be able to start the work on the dock. And since then they've been working on the dock and everything has been moving in the right direction. So everything looks good from that perspective. So with projects this size and scale, the way we see it is that as tanks become available as the dock becomes available, those are going to be made available to obviously our shippers. It's not all going to be available at the same time. It's going to be a phased approach. I don't know if Tim, there's any sort of color from the exact timing when in the third quarter or anything.
Timothy Roberts: Yes. We’re – third quarter, we would expect early in the third quarter as far as getting one of the burps out, and then potentially around again, mid-year with terminals, there's a – terminals, tanks, excuse me. Multiple tanks coming on and as they are commissioned, and we get filled and then subsequently can actually utilize the first dock, which both docks don't have to come up with the same time, then we'll start progressing barrels going through the facility.
Theresa Chen: Got it. And when do you think all 8.5 and both docks will be in service?
Rosy Zuklic: At this point, it's probably too ready to tell. I would speculate sometime later in the year, but I honestly don't have an exact number. We'll just have to wait and see as things progress.
Theresa Chen: Got it. And switching gears a bit, I wanted to touch on some of the Greg's comments on the PSX call related to how the Midstream inventory should ultimately end up at PSXP. And of that $800 million to $900 million qualifying income amount, how much of that is consists of what we would call inside the refinery gate assets versus the more attractive large-scale assets that could be backed by more third-party cash flows like the export infrastructure at Beaumont, Freeport and such?
Kevin Mitchell: Yes. Theresa, this is Kevin. So yes, Greg talked about the $800 million or so of existing EBITDA that's available to drop. And of course, he also in fact clarified that there's a significant amount of investment underway at the PSX level that we’ll continue to grow that EBITDA number. And so that $800 million is all what we would consider sort of the true Midstream assets, it's not refinery – inside the refinery fenced type of infrastructure that if you sort of contractually arrange – put the appropriate arrangements around it. You could make it Midstream qualifying. So it's all what we would consider through Midstream EBITDA.
Theresa Chen: Got it. And in terms of financing, again, echoing Greg's words that secondary equity markets are currently closed. Any thoughts on other avenues of financing? Would you consider doing another press or a pipe, for example?
Kevin Mitchell: Yes. I wouldn't really speculate around what our future financing would be. And as we look at any of those kind of transactions, we're always triangulating around the balance sheet, the leverage ratios, maintaining coverage and funding the transaction. I mean, to me a pipe is just a form of an equity issuance. And so I think of just common equity in the sort of broader sense, whether you go about that through a sort of public offering or you go about it through a pipe-type mechanism. That's all a variation. You end up in the same place from that standpoint. The preferred is certainly another option to consider. We've obviously – we've done that in the past, and that's proven to be very, very successful for us. But I'm not going to speculate too far on exactly what that might look like.
Theresa Chen: Thank you.
Operator: Philip Stuart from Scotiabank, please go ahead. Your line is open.
Philip Stuart: Good morning, everyone. Congrats on another solid quarter. I was hoping that maybe we could talk about the EBITDA ramp kind of throughout 2020. Obviously, you guys did a great job of growing EBITDA in 2019 and kind of hitting that $1.4 billion kind of annualized run rate in 4Q a little bit ahead of schedule. As we look out on a quarterly basis, it seems like 1Q 2020 is probably going to be the low point, given the seasonal turnaround and the fact that you're not going to have a full contribution from Gray Oak. I was wondering if you guys could maybe walk us through kind of how EBITDA growth stair steps throughout the year? And if that $1.5 billion kind of annualized run rate exit 4Q 2020 is still a good figure.
Rosy Zuklic: Yes. So you're right, Phil. First quarter is normally a seasonally weaker quarter for the MLP, and there's two main reasons. One, we're coming off of butane blending. So the fourth quarter benefits from butane blending, and the first quarter ends up having that 10% volumes coming off. And so that ends up always being a headwind for the first quarter. And then additionally, just in general, refinery turnarounds tend to be a little bit higher in the first quarter. And you may have heard that in the PSX earnings call, they guided to about a 90% utilization rate. And so if you think about the fourth quarter, that ran at about 97% utilization. And then you think about, specifically the assets that are tied to the PSXP refining system – or excuse me, the PSXP asset. They ran very, very well, whether it was Ponca or Borger. And so if you think just overall 90% utilization rate, so that's going to be an additional headwind.
Kevin Mitchell: And if you look at the table of organic growth projects that come online this year. So you go from – literally Gray Oak is really the first one that's making a contribution. Sweeny to Pasadena is at 2Q. 3Q, you got South Texas Gateway, and then 4Q Clemens Caverns expansion. So there's a nice kind of ramp up through the year as the projects come up. Of those, Gray Oak is by far the most significant in terms of as an individual project.
Philip Stuart: Great. I really appreciate the color there. And then just as far as Gray Oak goes, understanding that initial service has began, and appreciate the kind of updated commentary on kind of the 2Q 2020 being the first quarter of kind of full service. Just wondering if there are any material milestones that really need to be hit between now and then that could push that back or maybe bring it forward a little bit?
Kevin Mitchell: Really, it's – the milestone at this point is the finish line. So we're at a point now where we've got multiple spreads working with regard to terminals, finishing up connections, the pipes in the ground. It's really just finishing up the terminals, power connections, I&E work, hydro testing, any kind of terminals. I mean, we are in – completely in the weeds on many different fronts, but this is typical as you're getting ready to finish the project. I've seen this in previous experienced petrochemical facilities. Nothing big, but a lot of little things and they all got to get done. So that's where we're at in this homestretch.
Philip Stuart: All right. Thanks so much. That's it for me.
Operator: Chris Sighinolfi from Jefferies, please go ahead. Your line is open.
Christopher Sighinolfi: Hi everyone. Good afternoon. Rosy, I just wanted to follow-up on Theresa's discussion about the capital growth projects. Obviously, there was a scope change, you guys talked about – and have been earlier talked about by PSX with regard to the South Texas Gateway Terminal. From the third quarter to the fourth quarter, just comparing these slides, the right cost came up on Sweeny to Pasadena.
Rosy Zuklic: That's right. The $867 million of CapEx is not changing at this point. That's right.
Christopher Sighinolfi: Okay. And then you had mentioned – I'm always just curious when slide decks change, what gets added and what comes out. You guys have been featuring sort of an anticipated six to eight multiple on the organic backlog and you've noted it as such on that same slide. I don't see at this time you had made a comment in your prepared remarks about a consistent Midstream multiple. And I'm just curious if you're hinting that it's changing at all.
Rosy Zuklic: No. And it's funny because we actually in preparing these slides thought that someone would bring it up. And I don't know if you noticed that we actually changed the look of the slides, and it's a much more cleaner look, and the new slide layout does not have ticker boxes. So that's why I made a point of saying it in my script.
Christopher Sighinolfi: Okay, fair enough. And then the final question for me, and I noticed this when you guys gave the original budget. Just the significant step-up in maintenance budget from last year to this year, is there a particular item that's driving that? Or I guess, what is driving that change, and what's the cadence, I guess, if we look at the future?
Rosy Zuklic: There isn't any one particular item. Just in general, we have an integrity and reliability program that we have throughout the company, whether it's PSX or PSXP. And it just so happens that for 2020, a lot of the pipelines that we've identified. We have a lot of 40-year, 50-year and 60-year vintage pipeline throughout this both PSX and PSXP system that we want to increase just the reliability and integrity of the pipeline systems. The good news is that a lot of the work that we're doing is really more on the identifying things before they happen. And so what you're seeing really in 2020 is we're actually increasing. So the spend that we have is more like 9% of EBITDA. But as, obviously – what we'll see is that going forward, it'll be more like 6% of EBITDA, which is what historically our spend has been. And so 2020 is an anomaly in that. It's a bump up compared to where it's been. But I would say that just simply because we are growing the level of the maintenance expense is probably more in that $130 million where we're finding 2020 to be. But it will end up being more like 6% of EBITDA, which, again, has been more of a historical level.
Christopher Sighinolfi: Okay. So driven there maybe more acutely because of some particular programs. But in general as the business grows, you just think that's probably the new ballpark. Is that a fair…
Rosy Zuklic: That's right. The business will obviously get bigger, but the amount as a percentage will be smaller.
Christopher Sighinolfi: Okay.
Timothy Roberts: You'll find our maintenance, when you look at it across, whether it's the PSX level for Midstream or with the PSXP. We have a number for the year, but it really is not ratable per quarter. And again, based on specific size, complexity of a project in a region. So it really does, like you said, it's not a big number, which is good. But the other side of it is, is it just – it really isn't ratable and it's not predictable year-over-year with regard to always the fourth quarter will be the highest or such and such. It really does move depending on the project and what needs to get done and when based on our priority list.
Christopher Sighinolfi: Okay. I guess, if I could, one more question for me. And it's just regarding the preferred equity position. I don't know whether this is for you or for Kevin. But do you just contemplate that remaining a preferred stake? Or do you contemplate conversion of that at some point or take out of that simply?
Kevin Mitchell: Well, the way things stand right now, the preferred equity holders have the right to convert that to common equity at their election. And so that's really a question for them. I don't know that they haven't signaled anything around an interest to do that upon certain price thresholds being met of the common units and certain point in time, which I think is October of this year. We have the right if those criteria are met. We have the right to force that conversion. But that's something for a point in the future. So in our assumption, we just assume it stays where it is as a preferred equity for the time being.
Christopher Sighinolfi: Okay. All right. I took a lot of time this morning. I appreciate you guys enabling me to do that. So thanks again.
Kevin Mitchell: Thanks.
Operator: We do have another question that's come up of Elvira Scotto from RBC Capital Markets. Your line is open. Please go ahead.
Elvira Scotto: Hey, good afternoon. Sorry for keying in late. The questions that I have are absent a like a big project. Is there a certain level of growth CapEx maybe smaller projects that PSXP can kind of find year in and year out, certain kind of sustainable level of growth CapEx longer term that we can think about?
Kevin Mitchell: I'm just thinking through that. I mean, there probably is, I mean, as you know, we've grown the MLP significantly through a combination of dropdown, which is more in the earlier – sort of earlier stages of the PSXP’s life cycle. And then in the last two or three years, there's been a lot more organic opportunities, albeit, so projects that originated at the PSX level. And so as we look at it, we still think that that's probably the path to continued growth at the MLP. What we do find with the infrastructure we have in place, we do continue to come upon relatively small investment opportunities that are nice return projects that give a good little boost to growth to EBITDA generation. And so there probably is a level. I don't think we've really defined what that is. Obviously, it would be significantly lower than where we've been lately, where we're sort of $800 million total capital spend number, it'd be something significantly lower than that. But with the size of the portfolio that we have at the MLP and the fact that, that is continuing to grow. It makes sense that there would be sort of continued almost incremental type opportunities to provide additional return and growth.
Elvira Scotto: Thanks for that. And then the last question that I have is, at the PSX level and on the call, they talk about advantage and how that's going to provide about $1.2 billion of enhancements, I think through the end of 2021. Does any of that flow through to the PSXP level or how should we think about advantage as it relates to PSXP?
Kevin Mitchell: I think where that will – would manifest itself at the PSXP level. So to the extent that there is a capital projects being done at the MLP, which of course, there are. That's an element of the benefits that we're seeing in terms of more effective execution of our capital projects. And so you'd expect to see it from that standpoint. There's a significant focus around how we look at our sort of value chain from beginning to end. That's not going to show up the same in the MLP because that's really all around the hydrocarbons. And so the MLP model, which is more of a sort of tolling arrangement type volumes, volumes times a tariff or a fee, you're less like – you're not going to see that same sort of value chain focus. But the other area is that value chain focus identifies investment opportunities that we might not have done previously. And so to the extent those investment opportunities make sense for the MLP, you get some – you'll see some benefit there. And then the other element is in terms of operations and using sort of digital data having the ability to do data analytics and drive better decisions around how we actually operate our assets and the MLP will benefit from that just as much as at the PSX level for those assets, let's say that the MLP. So there are certainly some elements of that will flow and be for the benefit of the MLP.
Elvira Scotto: Great. Thank you very much.
Operator: We have no further questions at this time. I will now turn the call back over to Jeff.
Jeffrey Dietert: Thank you for your interest in Phillips 66 Partners. If you have additional questions, please call Brent or me. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect.